Operator: Please stand by. We're about to begin. Good afternoon, ladies and gentlemen, and welcome to the Murphy Oil Corporation Third Quarter 2016 Earnings Conference Call. This call is being recorded. I would now like to turn the call over to Kelly Whitley, Vice President, Investor Relations and Communications. Please go ahead.
Kelly L. Whitley - Murphy Oil Corp.: Good afternoon, everyone, and thank you for joining us on our call today. With me are Roger Jenkins, President and Chief Executive Officer; and John Eckart, Executive Vice President and Chief Financial Officer. Please refer to the informational slides we have placed on the Investor Relations section of our website as you follow along with our webcast today. John will begin by providing a review of third quarter financial results, highlighting our balance sheet and strong liquidity position, followed by Roger with an operational update and outlook, after which questions will be taken. Please keep in mind that some of the comments made during this call will be considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such, no assurances can be given that these events will occur or that projections will be attained. A variety of factors exist that may cause actual results to differ. For further discussion of risk factors, see Murphy's 2015 annual report on the Form 10-K on file with the SEC. Murphy takes no duty to publicly update or revise any forward-looking statements. I now turn the call over to John for his comments.
John W. Eckart - Murphy Oil Corp.: Thank you, Kelly, and good afternoon to everyone on the call. Murphy's consolidated results in the third quarter of 2016 were a net loss of $16.2 million or $0.09 per diluted share. The comparative result from the same quarter in 2015 was a net loss of $1.6 billion or $9.26 per diluted share. Prior-year quarter included a pre-tax impairment charge of $2.3 billion associated with oil prices that were weakening a year ago. Excluding the impairment in the prior year, operating results in the 2016 third quarter were improved compared to 2015 due to lower operating expenses and lower administrative expenses that more than offset lower oil and gas sales prices. Excluding discontinued operations, continuing operations had a net loss of $14.6 million in the third quarter, $0.08 per diluted share. Adjusted earnings which normalize our quarterly results for various items that affect comparability between periods was a net loss of $31.7 million in the third quarter of 2016, compared to an adjusted net loss of $124.5 million a year ago. This improvement in adjusted results in 2016 quarter was primarily attributable to lower cost per production, exploration and administrative activities, but these were partially offset by somewhat lower oil and natural gas sales prices compared to last year. Our third quarter 2016 lease operating expense, excluding Syncrude, which has been sold, was lower by approximately $0.44 per barrel of oil equivalent compared to a year ago. We have continued to bring down our operating costs due to efficiency improvements, aggressive rebidding of services and one-time benefits from operated and non-operated fields. Our third quarter 2016 average realized sales price per crude oil production was $44.64 per barrel sold and that's 3% lower than the same period in the prior year. Natural gas prices also were weaker in quarter three compared to the prior year's quarter, with average North American gas price realizations of $1.96 per thousand cubic feet, a drop of $0.46 per MCF or a decline of 19%. Realized oil indexed natural gas prices, offshore Sarawak, fell 20% to an average of $3.01 per MCF due to decline in global crude oil prices between periods. For the remaining three months of 2016, we have WTI-based oil sales contracts that hedge 25,000 barrels per day at a WTI average fixed price of $50.67 per barrel. Additionally, we have forward sales contracts for Canadian natural gas in the amount of 99 million cubic feet per day at an average AECO fixed price of CAD 3 per thousand feet over the remainder of 2016. For subsequent years, we also have WTI contracts for 18,000 barrels per day in 2017 and average price of $50.60 per barrel, plus we have Canadian gas forward sales contracts covering 99 million cubic feet a day at CAD 2.89 per thousand cubic feet for 2017, plus 59 million cubic feet a day at CAD 2.81 for 2018 through 2020. As previously announced in the third quarter, we reduced our quarterly dividend from $0.35 per share to $0.25 per share, thereby reducing our annualized distribution by approximately $69 million per year. At September 30, 2016, Murphy's long-term debt amounted to $2.97 billion, representing 36.9% of total capital employed. Excluding cap leases, total debt was $2.8 billion. Net debt at the quarter end amounted to 29.5%. Also as of quarter end, we had total cash and invested cash of $871 million and no outstanding borrowed balance on our revolving credit facilities, providing us ample liquidity for the future. We currently anticipate that fourth quarter oil sales volumes will be approximately 13,000 barrels per day below our average daily production. This is due to the periodic timing of offshore oil liftings, primarily for our operations in Malaysia. The lifting schedule calls for four liftings from offshore storage facilities during the first week of January, three of these occur in the first two days of the New Year, and these account for the noted reduction in the sales volumes in the fourth quarter compared to production. In August, we successfully completed a new $1.2 billion three-year unsecured credit facility and also issued $550 million of eight-year notes at a coupon rate of 6.875% with these notes maturing in 2024. Further details regarding these financial transactions may be found in our 8-K reports filed with the U.S. Securities and Exchange Commission on August 12 and August 17. And that concludes my comments. I'd like now turn it back over to Roger.
Roger W. Jenkins - Murphy Oil Corp.: Thank you, John, and good afternoon, everybody, and thanks for listening to our call today. We had a solid quarter operationally across our business. Our legacy offshore fields achieved just over $30 per BOE cash margin and our onshore business achieved continued success, employing high sand concentration fracs in the Eagle Ford Shale and Tupper Montney. Furthermore, we brought on our first four-well pad in our new Kaybob Duvernay asset, and are encouraged by the early results. On the expense side, we continued lowering our cost structure. During the quarter, our capital expenditures were $172 million and year-to-date are $429 million, in line with our 2016 previously announced capital expenditure program of $620 million. As John mentioned, we were also successful in obtaining our new unsecured revolver and issuing new bond, which allows for continued flexibility, ample liquidity and continued preservation of our balance sheet. We also adjusted our dividend while maintaining (7:39) top-quartile dividend yield. We believe that our current diversified oil-weighted asset mix serves as a foundation, which we'd be able to recalibrate production forming a new base in which to grow in the future. Third quarter production was just over 169,800 barrel equivalents per day, which exceeded the high end of our production guidance. The higher third quarter production is largely attributable to better-than-planned performance and facility up-time in Sabah, Malaysia as well as Offshore Canada and the Gulf of Mexico. We expect our fourth quarter production will be in the range of 162,000 to 164,000 barrel equivalents a day. Our fourth quarter guidance takes into account the following: A planned 10-day shut-in at Kikeh and Siakap North-Petai fields in Malaysia; and also in Malaysia, a planned two-day shut-in at our Sarawak oil and gas field, where we changed out our field base FSO. These two major shut-ins account for nearly 5,000 barrel equivalents of production this quarter from downtime and risked well recovery. Both of these major shut-ins have now been completed on time and we're very pleased with the recovery, especially in the Kikeh wells in the facility following the first major shut-in in the field's nine-year history. As expected, we will have some field decline, frac impact and small field shut-in across our business as well as positive production impacts in our Canadian business from quarter-to-quarter. The capital program for 2016 is maintained at $620 million, as I just said. However, there's a change in allocations as more capital is being allocated toward our Eagle Ford Shale business at the end of the year, where we've placed additional wells online. The fourth quarter production guidance is 162 Mboepd to 164 Mboepd due to impacts of our shut-ins, as I previously discussed. And our annual production range has been tightened to 174,000 to 175,000 equivalents per day, within guidance, post divestitures and proceeds (9:35) announced earlier this year. Our lease operating expense for the first nine months of 2016 was $7.83 per BOE, showing an 18% reduction in same period a year ago. Our quarter three LOE was $7.65 as compared to $8.09 per BOE in quarter three, 2015. All LOE expenses noted exclude Syncrude. We also made good progress in continuing to reduce our G&A costs over the year. Third quarter G&A is down approximately 24% from first quarter of 2016. More importantly, we've been able to decrease G&A by 36% from the first quarter of 2015, when we began implementing deliberate cost-reduction measures. Our current assets are more streamlined and concentrated than when we became an independent E&P company three years ago. However, remaining true to our strategy, we'll still maintain a global, diversified, oil-weighted E&P company. We have built positions from grassroots efforts in three premier North American unconventional plays that provide short-cycle growth opportunities following our low-cost entry points. We continue to review our portfolio and will act when opportunities present themselves. We generate free cash flow from our long-lived offshore conventional fields that are oil-weighted and priced to Brent. In our offshore Malaysia business, we produced over 39,000 barrels of liquids per day during the quarter with natural gas production from Sarawak at 116 million a day. We successfully installed a second platform in our South Acis field as part of the original field development plan. The resource size of the field has doubled since it came online in December of 2013. As part of the improved oil recovery project at Kikeh, we installed a surface jet pump system, which is in the first – which is our first of three planned improved (11:19) oil recovery projects for the field. Over the course of the next couple of years, we'll install an electrical submersible pump followed by a gas lift project on our Kikeh Spar. In the Gulf of Mexico and East Coast Canada, production for the third quarter was 25,000 barrel equivalents a day at 89% liquids. Subsequent to quarter end, the Kodiak field received gain – Kodiak field recently gained approval to commingle production between reservoirs and expect the additional zone be online by year-end. We've maintained our offshore capabilities and continue its focused evaluation in the Gulf of Mexico, Vulcan and Ceduna Basins of Australia, Malaysia and Vietnam. We believe that our offshore execution ability serves as competitive advantage and it can allow for assessment and entry into discovered resource opportunities that would – that we could access through expanding alliances with other operators. In Eagle Ford Shale, third quarter production was just over 46,000 barrel equivalents a day, comprised of 87% liquids. The 23 new wells brought online in the quarter, including two Austin Chalk and four Upper Eagle Ford wells. In the fourth quarter, the company expects to bring online 17 wells including two Austin Chalk wells and two Upper Eagle Ford wells. The fourth quarter online wells is an increase of 10 from previous guidance, with the majority planned for very late in quarter. Due to timing, they will have minimal impact on 2016 production. We continue making strides in decreasing drilling and completion costs as we average $4.3 million per well across the entire play, which is 18% below the $5.3 million per well in the third quarter of 2015. We drilled pacesetter wells in both our Karnes and Catarina areas. The spud to TD for Karnes is 7.9 days versus 13 days in 2015, a 39% reduction, and Catarina was 7.3 days versus 9.3 days in 2015, a 21% reduction. We still have significant running room ahead for us there with over 2,000 potential Eagle Ford Shale locations. Our reserves are oil-weighted at roughly 9%. This asset is very meaningful to Murphy's future reserves, production and cash flow. We've continued to employ high sand concentration fracs over this last quarter, which have continued to yield a higher IP rates and enhanced type curves. In our Karnes area, recent IP rates have been up to 50% higher, and we see one-year cumulative oil rates over 35% higher than our older vintage wells. In our Catarina area, recent IP 30 rates have exceeded the type curve by up to 17%. We're now forecasting increased EURs of high sand concentration fracs and are in the evaluation phase as to the EUR increases. During the quarter, we completed our second Austin Chalk well in the Karnes area to test the boundaries of the Austin Chalk resource, and the first Austin Chalk well is completing, what I'd describe as a wildcat test in our Catarina area. Both wells are flowing and still in the clean-up phase and we will bring more information on our fourth quarter call. In Canada, our Tupper Montney asset produced about 119 million a day for the third quarter. We are pleased with the performance of our recent extended lateral high sand concentration wells that were brought online in the second quarter. The results are compelling and are trending toward our 10 BCF to 14 BCF type curve. These results, coupled with our continued lower drilling and completion costs, continue to support our ongoing field development plan. We've reduced our drilling days and costs in the Montney by approximately 30% since 2014. As John spoke earlier, we've taken on additional hedges for 2017 through 2020, as part of our strategy to lock in returns given our low breakeven and PV at natural gas prices of CAD 2.10. In the Kaybob Duvernay and Placid Montney, production is over 3,100 equivalents for the quarter at 44% liquids. In Kaybob Duvernay, our four-wall pad was brought online in the gas condensate area during the quarter and was previously drilled by our partner. Two of these wells have an average effective lateral length of 4,150 feet, and the other two have an effective lateral length of 2,665 feet. All these lateral lengths are well below our future development plan. The pad is flowing in excess of 2,100 barrel equivalents per day with nearly 70% liquids, after flowing for only 40 days utilizing our conservative choke management approach. Initial results look encouraging as wells are trending along the type curve and accounting to affective lateral lengths. With the two varying exposed stimulated horizontal sections, we can tie lateral lengths to flow performance. We've been very impressed with the condensate to gas ratio as the wells are maintaining a stabilized CGR of near 500, which is higher than our originally assumed number. We further expect that as we move up the learning curve in this play, we will continue to refine completion techniques based on the first operated production flow backs. We'll be drilling our first operated new two-well pad in the fourth quarter in the gas condensate region with production online in the first quarter of next year. Drilling and completion costs for this two-well pad are expected to be $5.6 million per well. The average lateral length for these wells is near 4,500 feet. They were previously permitted by our partner and are limited by lease boundary shape. We'll be implementing a similar completion design that we've (16:45) done in Eagle Ford Shale, which includes pumping fracs of 2,000 pounds per foot. Moving forward, we're working a plan in the Kaybob to increase lateral lengths over 9,000 feet, we continue to pump fracs at 2,000 pounds per foot, and tweak spacing of stages et cetera, which will lead to higher rates in this area to play and offer upside for Murphy. Over time, we've been very successful at lowering our drilling completion costs in Eagle Ford and Montney, and expect we'll do the same in our Duvernay play over time. In our non-operated Placid Montney, four wells were drilled and eight more are planned for this winter. Four of these wells will be completed late in the year and the remainder online in 2017. As we close our call today, some takeaways. We're pleased with our overall results this year. As we move forward, we'll focus on continuing well efficiencies, improving cost structure and preserving our balance sheet. Our high cash margin offshore assets provide the cash flow required to ramp up on new unconventional assets in the Duvernay as well as unlocking value on our Eagle Ford Shale and Montney businesses. And you can appreciate, oil and gas prices have been very volatile over the past two years. However, we believe prices are stabilizing. We're in the middle of our internal budgeting process with a goal of maintaining cash flow neutrality, including our dividend. We have many great opportunities across our assets as we do every year and we'd be releasing our 2017 guidance and CapEx in late January. I look forward to discussing those with you at that time. This concludes our opening remarks. I'd like to open it up for your usual questions and we go from there. Thank you.
Operator: Thank you. Our first question, we will take from Paul Cheng with Barclays.
Paul Cheng - Barclays Capital, Inc.: Hey, Roger, good afternoon.
Roger W. Jenkins - Murphy Oil Corp.: Yeah, Paul. Good, good.
Paul Cheng - Barclays Capital, Inc.: In Canada, for Duvernay and Montney, is your activity level that we should assume next year is primary in the sand project, testing out in the placing, or that you're going to increase the commercial development also? How should we look at the program (19:04)?
Roger W. Jenkins - Murphy Oil Corp.: We're trying to – we obviously have a lot of options for both, or all three of those concepts, Paul. We're in the middle of determining that now. I would like to have, at this time, probably a focus on the condensate region. But test black oil and further areas of gas condensate as well, or volatile oil areas, like Eagle Ford Shale. And one of the reason we went into the place, we feel we have all three there; high rate, high EUR, gas condensate, very successful, volatile, oil areas. And a very, very high issue for Murphy as to return in the black oil, should that prove successful, which we applied no value of that acreage when we purchased this asset. So, working on that. It's a tough call. But we're going to be spending capital on all three of those areas to both delineate and build up (19:55) production primarily for 2018 out of that asset, Paul.
Paul Cheng - Barclays Capital, Inc.: And any rough preliminary estimate that how many rig you end up that's going to run up there for 2017? And what may determine then that whether it's going to be higher or lower subsequently?
Roger W. Jenkins - Murphy Oil Corp.: We're going to be in the one to two rig range in there, for sure. And we also have Montney where we're going to spend some level of capital maintaining that production. It's going very well economically for us too, some of the higher economics in the company. And we're going to be in there all year drilling with a rig to two rigs at this time, for sure, Paul.
Paul Cheng - Barclays Capital, Inc.: But what may trickle you to have a higher number of rigs then? Is it just (20:41) or...?
Roger W. Jenkins - Murphy Oil Corp.: Well, as we look at our budget, we will be allocating capital across the different parts of our North America onshore business and that will be one of those questions that we have and we're in the middle of doing it right now, Paul.
Paul Cheng - Barclays Capital, Inc.: Or maybe I can ask it in a different way. Let's say...
Roger W. Jenkins - Murphy Oil Corp.: Paul, you're going to ask me 10 questions till you get to the budget?
Paul Cheng - Barclays Capital, Inc.: No, no, no. I'm just trying to understand the thought process that when you decided to increase your CapEx, what would be the first area you're going to allocate the CapEx to? Is it going to be Eagle Ford or it's going to be up in Canada?
Roger W. Jenkins - Murphy Oil Corp.: That's a hard to call at this time, I think we need to – we're just establishing our field development plan in our new asset. We just really started operating the field in August up there, and we have a permitting process in Canada that's longer than in Eagle Ford. And we are in the middle of doing that, and setting up pads with this long lateral length and planning that. We're going to step in the longer lateral lengths early there than we did in the Eagle Ford, for sure. In a very short notice, you would probably got to Eagle Ford over that, but it will depend on the outcomes of this well. We're very happy about the results, very happy about what we planned and what we're seeing, very happy about the CGR. Really nice wells to drill coming up this quarter that are next to some very high-performing well, some of the better-performing wells from our partner. And all of that will take into account some flexibility as to our field development plan, the pad layouts that we have, the areas in which we receive permits, comparing that back to Eagle Ford. And I'm glad to have the ability to move between them pretty easily, Paul.
Paul Cheng - Barclays Capital, Inc.: All right. Thank you.
Roger W. Jenkins - Murphy Oil Corp.: Thank you.
Operator: We'll take our next question from Roger Read with Wells Fargo.
Roger W. Jenkins - Murphy Oil Corp.: Hey, Roger. How are you doing? Roger, you're on there?
Operator: You may have your phone mute. We aren't able to hear you. Okay. We'll take our next question from Kyle Rhodes with RBC.
Roger W. Jenkins - Murphy Oil Corp.: Well, Kyle. How are you doing?
Kyle Rhodes - RBC Capital Markets LLC: Good morning. Hey, guys. I mean, Roger, you just kind of touched on my first question, but can you remind us of where you are in the permitting process in terms of getting those longer lateral wells on the schedule for 2017? Did you have to re-permit all of Athabasca's kind of shorter lateral wells? I guess, where are we in that process?
Roger W. Jenkins - Murphy Oil Corp.: We just started in August and September. This is a unique area in which there are no drilled uncompleted inventory of any kind in the whole entire play. We just completed the only four uncompleted wells we had and they had two permits in which we're fixing to drill. And we are starting over with the kind of the wells we want, various options of shorter and longer lateral design, across black oil, volatile and condensate. And we're not going to be held back by that. We have a plan and are executing optionality around that as we speak.
Kyle Rhodes - RBC Capital Markets LLC: Got it. So, in terms of timing on kind of the next spud behind the two well, is that something kind of we should expect early 2017?
Roger W. Jenkins - Murphy Oil Corp.: Yes.
Kyle Rhodes - RBC Capital Markets LLC: Okay. Great.
Roger W. Jenkins - Murphy Oil Corp.: We're going to be drilling them starting in November. We have to drill two wells and complete them and flow them back. And we're very conservative on our choking of these wells. But we may have it for our first call, it will be very close.
Kyle Rhodes - RBC Capital Markets LLC: Great. Appreciate that. And I understand that you guys don't want to get into the budget too much here. But any kind of high-level color you can give us on capital mix, and how you guys are thinking about capital allocation for 2016? And then maybe which regions we would expect to see growth from kind of 4Q 2016 to 4Q 2017?
Roger W. Jenkins - Murphy Oil Corp.: Really prefer not to the get into all that now. Have a lot of optionality around that. Real pleased about the capital allocation alternatives I have from a DPI perspective. And we're going to be spending a lot of money in our onshore business. And we also have some very nice high-return projects in our offshore business, such as gas lift project in Malaysia, it's priced on the highest rate of return we've seen in a while. And various types of spend like that and not massive offshore spend, but we're going to have some offshore spend and we're in the middle of getting that all allocated up right now.
Kyle Rhodes - RBC Capital Markets LLC: Great. And then just one final housekeeping one for me. What's the expected net impact to Murphy from the commingling of the added zone at Kodiak?
Roger W. Jenkins - Murphy Oil Corp.: It's probably couple of thousand barrels a day.
Kyle Rhodes - RBC Capital Markets LLC: Great. Appreciate it, guys.
Roger W. Jenkins - Murphy Oil Corp.: Thanks.
Operator: We'll take our next question from Peter Kissel with Scotia Howard Weil.
Peter Kissel - Scotia Howard Weil: Hey, guys. Thanks for taking my question.
Roger W. Jenkins - Murphy Oil Corp.: Hey, Pete. How are you going?
Peter Kissel - Scotia Howard Weil: Hey, guys. A quick question on the Eagle Ford, you've been doing a lot there. And I'm just curious to see if you have an update on the inventory that you put up before. Roger, I think you mentioned, 2,000 roughly locations. But with some of the bigger completions, does that take down some of the traditional inventory that you've highlighted? Or I guess, on the flip side, does the Austin Chalk or the Upper Eagle Ford maybe increase it?
Roger W. Jenkins - Murphy Oil Corp.: We have all that in that numbers, some 2,800 locations and that's a lot of inventory I feel for our size company. And that latest location count through various spacings would account for these lateral lengths. We're expanding our lateral lengths in Catarina, primarily, still have a lot of 5,000, 5,500 wells in Karnes, because of the shape and the prior wells drilled there. So our big, expansive longer laterals are primarily located in Catarina and that well count that we've been talking about would have all that in it. And our Upper Eagle Ford locations are very similar to what we've broke out in a prior slide deck. And those would be maintained at this time.
Peter Kissel - Scotia Howard Weil: Got you. Okay. And then, one other thing you mentioned several times in the prepared remarks and one of the more impressive things is some of the cost reductions that you've seen. Have we reached the end of the cost reductions here and is it more of an efficiency gain game, or kind of how are you thinking about that here?
Roger W. Jenkins - Murphy Oil Corp.: Well, we've been really very proud of our efforts of my team here on this. And it's a misnomer that it's all about bidding. It's really 75% efficiency and a lot of work around chemical costs globally and the exact amount chemicals, and doing a lot of research around that. And so, our savings is 75% efficiency and 25% rebidding of services. What we're trying to do in OpEx, and I think there's not a massive improvement left for us. But in our big businesses like Eagle Ford, it was up a little bit this quarter due to some timing of some artificial lift and some workovers of rods and things of that nature. But what our goal here is to be a $7.50 player through 2018 in this new business, Eagle Ford Shale, that we've built in the last five years. So our goal is to get there by the end of 2018; I believe we will be. And our offshore business with these shut-ins will go up next quarter as well. But overall, I'm pleased with the recovery of the Kikeh field, very pleased in fact because that was quite risky for us to shut that big field in like that. And in general, happy there. And then really, what we want to be is a non-dollar BOE total company long term, and I think that would be a very successful company to be with our high cash margin oil-weighted portfolio we have. And that's kind of where we're wanting to be. And Eagle Ford at $7.50, and the company at $9, and that's not off of where we are now. So, I see that as a good plan and kind of where we're going to be.
Peter Kissel - Scotia Howard Weil: Great. Thanks, Roger. That's helpful. One quick last one for me. In terms of the portfolio, obviously, it's been a pretty active year in terms of acquisitions and divestitures. But how are you thinking about it going forward?
Roger W. Jenkins - Murphy Oil Corp.: We don't really have a lot of non-core things. Our heavy oil would stick out as my goal of being a unconventional-only North American player, and that would be the only thing that I consider not on that path at this time.
Peter Kissel - Scotia Howard Weil: What about acquisitions, Roger?
Roger W. Jenkins - Murphy Oil Corp.: We're very active looking at various things in both offshore and onshore. I think one of our advantages, we have the teams and ability to look at both. We very, very much know the North American onshore space, and also looking globally as well in the offshore for certain areas, where we could really believe that there'll be a lack of competition for fields that are discovered in certain countries. And we have the ability to execute and evaluate those, and real pleased with what I'm seeing and hearing in that situation.
Peter Kissel - Scotia Howard Weil: Got you. Thanks again, Roger.
Roger W. Jenkins - Murphy Oil Corp.: Thanks, Pete. See you later.
Operator: We'll take our next question from Pavel Molchanov with Raymond James.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Hey, guys. About a year ago, you farmed into the new Vietnam block. Can you confirm that you have not had any activity there to date? And if not, any sense of what the plans might be for 2017?
Roger W. Jenkins - Murphy Oil Corp.: We've been working through a partnering arrangement there, and a field development plan process. It's a little slower than we're used to in Malaysia, but we're very, very senior at working in that region and understand what we're doing there. We would see activity in there next year and the drilling of a well highly likely at this time. And we're very happy about that project and very happy about the running room in that block. And then continuing to progress at just a little slower pace than we had desired, but it fit into our capital reductions this year that we had anyway. And then looking to get back in there next year, going with that, and the field development plan process and the resource remains positive in my view, very positive.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay. And if I can also ask about the Kaybob. It's obviously not as much of a household name as the Eagle Ford for most operators. Have the result you've gotten to date over the last six months or so, have they met your original expectations when you did that asset swap?
Roger W. Jenkins - Murphy Oil Corp.: Well, we only brought on four wells. And the other wells were drilled by the prior operator and quite overflowed for well over a year. There's been very little activity in the place for probably 14 months. So, when we bought the play, we had EUR assumptions for volatile oil, gas condensate and black oil, black oil which we put very little value, if any. And we've, since that time, broken this field into many EUR curves, which would be normal in shale operations, which we're very experienced at doing. And if you were to tie this up with the lateral length of the kind of wells we want to drill and what we're seeing from a linear concept between, it's an advantage to have a short and a longer well. We can see how they flow side by side actually. And we're real happy about the EURs we assumed, real happy about what we assumed when we purchased it. And this is going to be about lowering drilling costs. And we're going to lower drilling costs just like we did in all our other plays and we'll add a lot of value here for the company.
Pavel S. Molchanov - Raymond James & Associates, Inc.: All right. Appreciate it.
Operator: And our next question will come from Edward Westlake with Credit Suisse.
Roger W. Jenkins - Murphy Oil Corp.: Hey, Ed.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Yes. Good morning. Can you hear me?
Roger W. Jenkins - Murphy Oil Corp.: Yeah. Sure.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Sorry. Good afternoon now. Just on the Montney, I mean, obviously, well done on the completions. You've got a massive resource base there. What are the steps you have to take to get that gas production up and out to market?
Roger W. Jenkins - Murphy Oil Corp.: Well, we have TCPL agreements that can get us out of there at 200 million a day for some time. The plants are flowing that on a net basis, when I say the 200 million. Naturally, it's a capital allocation decision, probably coming up late next year, or into early next year, if we want to expand in that play and work with the midstream partners to build additional gas plants there. And we're now seeing very, very high EURs, and very, very good economic returns. And we have that on our long-range plan list of positive capital allocation alternatives in the company. And we've also been very active at hedging. Probably, Murphy has never been a big hedging outfit. But up there, we are, getting in the 50% of production range to protect these returns. Real happy about our operations, the up-time, the operating expenses, the EUR per well, and all those things are going well. And we lock in anything north of $2.10, are doing very well and the DPI of these wells are very strong. And so, we have set up and covered here to be able to handle these lower gas prices and are profiting from that. Delivering free cash flow in that business every year and we'll continue to do so. And we have a big decision to make if we want to expand it, because we certainly have the subsurface ability to do so.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): And just to make sure I heard you correctly that decision will be late 2017, so CapEx, so maybe 2019...?
Roger W. Jenkins - Murphy Oil Corp.: No, it won't be a – it will be an issue around working with midstream partner.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Yeah.
Roger W. Jenkins - Murphy Oil Corp.: We're very happy with the midstream partner that we have. And it'll be about drilling wells for that person to execute that build-out, if you will. It will be a decision, it won't be a capital constraints for those periods of time, if you catch my drift. They have to build a plant. We have to then drill the wells to meet the plant schedule, the permitting and all those various things, if we want to do that.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Yeah. So, we'll just watch the infrastructure guys there. And then, on the Duvernay, I mean, obviously, it's still early days. I mean, given your experience, I mean, when do you think you'll have drilled enough wells to really get to the point where you can move to a development plan? I mean, it feels like, again, that's not next year. It's probably into 2018.
Roger W. Jenkins - Murphy Oil Corp.: We have a field development plan now. It's just a matter of deciding, as to Paul's question, where we allocate the capital. We do not see any reason why we're not going to be successful and work here, because we have so much acreage and so much optionality around different acreage that we own. It's just a matter of delineating and getting go. And I consider us in field development plan mode ever day there. And there will be certain areas that would improve or go further down the list. And through next year or a year from now, we'll be setting up for what we're going to do in 2018. And the goal here is to replace to production, the higher margin that we sold in Syncrude, and I see us well on that ability, and happy with the costs, operating expenses, and all that, and real pleased about how that's going. And we're getting this ground running pretty hard with our experiences in the Eagle Ford, in Montney, and what we learned about going to higher sand and going to longer laterals is really helping us here, relocated a lot of staff around building up that ability, doing things quicker. And while still maintain some of the Murphy conservatism that we have, like in flow back. These wells are flowing only on 14, 16 choke. So, real happy about how that's going right now.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Roger W. Jenkins - Murphy Oil Corp.: Thank you, Ed.
Operator: Our next question will come from Roger Read with Wells Fargo.
Roger W. Jenkins - Murphy Oil Corp.: Hey, Roger. How are you doing?
Roger D. Read - Wells Fargo Securities LLC: Good. Sorry about that earlier, but it has been one of those kind of days.
Roger W. Jenkins - Murphy Oil Corp.: I understand.
Roger D. Read - Wells Fargo Securities LLC: Anyway. Eagle Ford Shale and CapEx, I guess I want to understand, in general – and I know you're hesitant to give us a specific CapEx number for 2017. But as you think about whatever the right oil price may be, use the strip as an example today, and the cash flow you would generate, should we presume you're aiming for cash flow neutrality after CapEx and dividends? Is there a desire to build a cash balance? I mean I know not necessarily a necessity, but maybe a preference, as we try to think about it. And then, as you think about an incremental dollar, obviously, a lot of discussion here about Canada. But where does the Eagle Ford Shale fit in, in all that, given you've talked fairly optimistic scenarios there in terms of well costs and the Austin Chalk as well?
Roger W. Jenkins - Murphy Oil Corp.: We do desire our cash flow neutrality with our dividend as a corporation, and working around that right now is an overall basis for us. In Eagle Ford, CapEx is going to be going up. Production will not continue to decline. It will be flattened or slightly growing is the current plan. Real happy about that. It's the best – these down-space wells in Catarina, some of the top in the company. And it's a matter of capital allocation around – we could put all the capital in there, if we would like. But our Duvernay Shale, we have to delineate this black oil, volatile oil, condensate, and we have to also prove that we can lower costs. And the only way to prove you can lower costs is to drill some pads. And you have to drill those pads aggressively with longer laterals. So, it's going to be one of those kind of calls, Roger. Remake (38:49) production what you want it to be, if you put all the capital and the best IP type wells, which lead to the better returns on it mostly – usually. But we have a new unconventional shale business that has zero DUCs in it. So, that's not that common, and we have that as a capital allocation decision. But we absolutely have to get in there and drill some wells. And our Eagle Ford will be there for us and it's doing really, really well.
Roger D. Read - Wells Fargo Securities LLC: And I guess, along those lines, and I apologize again, because I have been on and off the call. But have you given a CapEx number for Canada for the Duvernay, or at least some broad guidance on what we should think about for next year?
Roger W. Jenkins - Murphy Oil Corp.: No, I have not.
Roger D. Read - Wells Fargo Securities LLC: Got to wait till January?
Roger W. Jenkins - Murphy Oil Corp.: There's nothing wrong with waiting till January. It's just 90-something days away, Roger.
Roger D. Read - Wells Fargo Securities LLC: You're asking Wall Street for patience, Roger, that's always a challenge.
Roger W. Jenkins - Murphy Oil Corp.: Well, it'll be what it'll be.
Roger D. Read - Wells Fargo Securities LLC: All right. Appreciate your time. Thank you.
Roger W. Jenkins - Murphy Oil Corp.: Thank you. Good talking to you.
Operator: And we'll take your next question from Arun Jayaram with JPMorgan.
Arun Jayaram - JPMorgan Securities LLC: Hey. Good afternoon.
Roger W. Jenkins - Murphy Oil Corp.: Hey, sir. How are you doing?
Arun Jayaram - JPMorgan Securities LLC: I'm doing well.
Roger W. Jenkins - Murphy Oil Corp.: Good talking to you.
Arun Jayaram - JPMorgan Securities LLC: Good talking to you as well. My first question, Roger, is just on the income statement. You had a pretty meaningful decline in G&A, sequentially, almost it is $12 million. Anything unusual in that number, or is that a good run rate kind of going forward, because you were at $74 million in the first quarter and you're at $56 million this quarter, so?
Roger W. Jenkins - Murphy Oil Corp.: It's a good run rate for us. We've had unfortunately some reductions in staff earlier in the year. Now, those costs, special items for that, are behind us. And we're doing very, very well, on not just employees, but lowering G&A, and G&A focus on our company in general. And I think that's a good run rate number what we're hoping to have next year or better. And that's where we're headed there, greatly improved in that situation.
Arun Jayaram - JPMorgan Securities LLC: So that's a permanent reduction? Okay. Great. My second question is regarding the high-density completions in the Eagle Ford. On the charts, on page 12, it looks like you guys have been doing this for well over a year. I just wanted to – if you could note is – have the bulk of the completions over the past year been using those high-density completions, or are you shifting – has it been more of a mix? And then, going forward, you could benefit from a well productivity standpoint.
Roger W. Jenkins - Murphy Oil Corp.: We've only had probably four wells flow for over a year and the others have flowed about 90 days. And we're now moving to it almost exclusively in Karnes and Catarina, and Tilden as well, which is a big large acreage area for us. Of course, the technology works there as well. So, we do not have still massive amounts of data on that, but we're very, very happy with what we're doing and we know it's working in the industry here. And we show a long-term example, but those doesn't mean I have dozens of wells at that. But I'm real happy about how this is going. This Catarina area is very prolific for us, very low cost and doing very, very well, too.
Arun Jayaram - JPMorgan Securities LLC: Okay. And my final question is, just thinking about A&D activity we have seen, primarily a lot of the transactions have been in the Permian, but we have seen some things in the Gulf of Mexico as well as the Eagle Ford. How are you thinking about A&D activity? Could Brazil be an opportunity? But at least, perhaps, just give us where you're seeing some opportunities for, perhaps, Murphy to participate in?
Roger W. Jenkins - Murphy Oil Corp.: Well, in all three of those places, for sure. We see one in Eagle Ford this week, and some acreage surrounding our Catarina area, north and south there. Of course, inch as good as a mile in some of these plays some time. And the offshore business, we're an offshore company from old days and we look at opportunities there. And in Brazil, we're very excited about Brazil. We see them with leading companies like Murphy to develop fields, that they have discovered prior, and these fields would have some level of delineation to them. There will be a market in there for super-majors after the very, very large fields. We will be going after the smaller ones and things in which we operate. We do operate smaller FPSOs, TLPs, you name it. We operate everything globally and have been, and can do this very well. We're very, very good at it. And we're going to be looking at those opportunities down there real hard.
Arun Jayaram - JPMorgan Securities LLC: Okay. Thank you, sir.
Roger W. Jenkins - Murphy Oil Corp.: Thanks.
Operator: And we'll take our next question from Sean Sneeden with Oppenheimer.
Sean M. Sneeden - Oppenheimer & Co., Inc. (Broker): Hey, guys. Thank you for taking the questions. John, maybe for you. LOEs were down pretty nicely in the quarter. Could you just bridge us from kind of roughly $8.36 per BOE in Q2 to the $7.55 in Q3?
John W. Eckart - Murphy Oil Corp.: Well, Sean, we had – in particularly in our operations in Malaysia, we had some one-off items this quarter with the cap. So, our operator has been given us a number of projections of what our LOE was to be. And after a period time, it became obvious that they were not going to run that hard. So, we adjusted for that. And so, there is a little bit of a benefit in there associated with that. So, it's just a truing-up case, if you will, that benefits the third quarter.
Sean M. Sneeden - Oppenheimer & Co., Inc. (Broker): Okay. And so, would that kind of imply that Q2 would be a more appropriate run rate to think about going forward, everything else being equal?
John W. Eckart - Murphy Oil Corp.: I think it will be difficult to quite be as low as it has been or was in the third quarter, probably a better way to say it. Probably – those third quarter benefits probably won't repeat.
Sean M. Sneeden - Oppenheimer & Co., Inc. (Broker): Okay. That's helpful.
Roger W. Jenkins - Murphy Oil Corp.: But let me have a comment on that. I mean, our Kikeh recovery, our risk recovery, this Kikeh downtime is a big deal for us. And this is real live in our face right here, this recovery. So, this is taking place as we speak, and it's going very well. And having those wells recover back to their rate and losing that risking in the guidance can be very instrumental in this OpEx over there. And it's a big part of that business over there is to get this field back going after not shutting in for a long time, nine years, ever. We pride ourselves in less turnarounds than anyone else in the industry. This is the highest-performing FPSO in the world. And we have that thing back on now and that can impact us and it's very positive for us.
Sean M. Sneeden - Oppenheimer & Co., Inc. (Broker): That makes sense and that's helpful. And I guess, the second question is, how do you guys weigh, taking out your 2017 bonds versus maybe using kind of, let's call, $800 million of cash on the balance sheet for D&C or bolt-on deals?
John W. Eckart - Murphy Oil Corp.: Yeah, Sean, we evaluate that continually and we kind of like it both ways. We like having the cash. We also would like to take it out. So, it's one of those that we're studying. We can, at times, probably make some economic sense and make some economic sense to take a piece of that stuff out early, but we're just evaluating and haven't made a call on it yet. We've had other properties to worry with. But we do analyze it routinely. And there are opportunities out there to do so, at least in the small chunks, if we so chose to do so. We have not considered yet a full takeout opportunity.
Sean M. Sneeden - Oppenheimer & Co., Inc. (Broker): Okay. That's helpful. And then, I guess, are you guys generally comfortable with those bonds becoming a current liability in December, I mean just given the level of cash you have?
John W. Eckart - Murphy Oil Corp.: Yeah. Yes, I am.
Sean M. Sneeden - Oppenheimer & Co., Inc. (Broker): Okay. That's helpful. Thank you very much.
Operator: And our next question will come from Ryan Todd with Deutsche Bank.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Good afternoon, Roger.
Roger W. Jenkins - Murphy Oil Corp.: Hey, Ryan. How are you doing?
Ryan Todd - Deutsche Bank Securities, Inc.: Good. Thanks. How are you doing?
Roger W. Jenkins - Murphy Oil Corp.: Good.
Ryan Todd - Deutsche Bank Securities, Inc.: Maybe a follow-up on some previous comments from earlier this year. I mean I think you've spoken in the past about, at least maybe in the $50 oil and about 2017 volumes holding flat at 4Q 2016 levels, if I've got that roughly right. Maybe this is quibbling over details. But can you – when I think about where volumes go from here, is that like inclusive of the shut-in volumes in Malaysia, because they're a little bit lower than we would have expected, I guess, in Q4? Is that kind of based on what a normalized run rate would be, assuming Kikeh is back up and running? And is it still realistic to think – is that still an accurate way to think about your volumes of kind of stabilizing at these levels and then looking to grow from there?
Roger W. Jenkins - Murphy Oil Corp.: We have all the optionality around doing what we want to do on that with our capital. And like I spoke to earlier in the call, we have to consider a big unconventional asset that's new that we're happy about that we need to work on as well, that will need a ramp-up. And I think that third to fourth quarter in there is a good description of the goal there. And then capital allocation options around that versus other things will be the focus of our budgeting which we're working on now. So, you're right, the fourth quarter's pulled back by a one-off shut-in here that's been planned for well over a year, has done very well with the recovery of that. So, that'd be a way I'd describe it at this time.
Ryan Todd - Deutsche Bank Securities, Inc.: Okay. And are we likely to see any exploration in – any offshore exploration in 2017?
Roger W. Jenkins - Murphy Oil Corp.: Well, it gets back to that same old question about the production and the capital. And of course, we have opportunities there in many of them. I do not see it as a big capital allocation. And it is, again, one of the options I have on the table at this time that we're really working on as to capital allocation between Duvernay, our Eagle Ford Shale, offshore projects that have very, very high rates of return on existing facilities, and a concept of that in our business as well.
Ryan Todd - Deutsche Bank Securities, Inc.: Okay. Great. I'll leave...
Roger W. Jenkins - Murphy Oil Corp.: That's what makes it – that's why it takes it till January, Ryan.
Ryan Todd - Deutsche Bank Securities, Inc.: All right. Okay. I'll leave it there, Roger. Thanks.
Roger W. Jenkins - Murphy Oil Corp.: Okay, buddy. Thanks.
Operator: And our next question comes from Brian Singer with Goldman Sachs.
Brian Singer - Goldman Sachs & Co.: Thank you. Good morning.
Roger W. Jenkins - Murphy Oil Corp.: Hey, Brian.
Brian Singer - Goldman Sachs & Co.: Good afternoon.
Roger W. Jenkins - Murphy Oil Corp.: Yeah.
Brian Singer - Goldman Sachs & Co.: A couple questions on the Eagle Ford. The first is, can you talk about the trajectory as you begin to ramp or get more wells online in the Eagle Ford, of what the impact would be to how we should look at the oil mix in the Eagle Ford? And then, I've got another follow-up after.
Roger W. Jenkins - Murphy Oil Corp.: We're looking now at that being slightly higher than it was this year and flat. We want to have a flat production business there long term that delivers free cash. And we have a model to do so and we're real happy to do so. As to the oil amount, I mean, you really ask a lot of questions on that issue. We're an oil-weighted company in there and very, very high oil-weighted. And in our comparisons from quarter-to-quarter, you have many, many issues going on there. You have some old historic wells, in which they would have some level of GOR creep, I guess, to them. But primarily, what this is about is drilling our core acreage. And when we only drill 50 wells, and we used to drill 150, we're drilling them near our facilities and capturing more gas than we used to capture. And we used to drill more on the peripheral parts of field with multiple rigs running and we were flaring some of that gas, and were not gathering all that gas. We're gathering more gas and we've cut back on a lot of new wells that we used to drill. And 1% or 2% change off of that is not a long-term factor. And we're very comfortable with the 89-type-percent liquids in that business, in which we also enjoy very little NGLs in our business. And our long-range plan, and all of our PVT, and all the work from our 800 wells are not leading to a collapse in our liquid volumes in the Eagle Ford Shale at all.
Brian Singer - Goldman Sachs & Co.: Great. Thank you. And then the follow-up is just on the capital cost side, specifically, as you're talking to some of the services companies about getting more aggressive from a completions perspective, at a minimum, can you talk about the feedback that you're hearing and your expectations for cost trends as you go into 2017?
Roger W. Jenkins - Murphy Oil Corp.: Well, we're real happy about where that's going. You got to keep in mind that in a business like Eagle Ford Shale, before you get involved with the service companies, is that we have – we're looking at 7.9 days to drill a Karnes well now. It used to be 13 days in 2015. A Catarina well used to be 9.3 days and now it's 7.3 days. So, we've lowered drilling per field; in East Tilden, 60%; Catarina, 75%; Tilden, 47%; Karnes, 85%. This is from the last five years. And in the last two, incredible continuation of efficiency here on the wells. From a service perspective, we have a frac crew lined up for the entire year and are outbidding for spot crews, as we need. They are about 50% less than they were in 2014 to accomplish these services. We feel firm about the contract that we have to deliver our fracturing services in Eagle Ford. We have a rig there that doesn't expire for some time until late next year. And we're seeing spot rigs in there for 15,000 a day to add additional rig. And then we'll probably go to a couple of rigs in that play. And I'm happy with the procurement and the bidding structure that we have to go through 2017, and able to maintain our costs. And that's not one of our main concerns in our budgeting at this time.
Brian Singer - Goldman Sachs & Co.: That's great. Thank you for the color.
Roger W. Jenkins - Murphy Oil Corp.: Thank you.
Operator: Our next question will come from Paul Sankey with Wolfe Research.
Roger W. Jenkins - Murphy Oil Corp.: Hello, Paul.
Paul Sankey - Wolfe Research LLC: Hi, Roger. Hi. I had a specific and a general. The specific, you seem to be a little bit coy about the Duvernay. Can you just talk a little bit more about – I mean I know you've said it's in line with your expectations, but we see this as a differentiated area for you. Could you just remind us why you're differentiated there and what the outlook is for activity? I know that you've partly addressed some of these questions earlier in the call, but if you could just be, again, more specific on Duvernay, that would be great. Thanks.
Roger W. Jenkins - Murphy Oil Corp.: I'm not coy about it at all. I'm real happy with the EUR curves we're seeing, well like – there are many, many wells in the Eagle Ford Shale or across the plays in North America that deliver around 450,000 barrels to 500,000 barrels. And we're looking very positive toward doing that and tying up a very one barrel per feet of horizontal length there. So, it's going well and those are the type of EURs we anticipated coming out of the well, only flowed the well for 40 days, still have the well on a very low choke. So, I'm happy about how much it cost to frac it. I'm happy about where we're headed to drill the next two wells and how that will incredibly add value to us. And the CGR is a big deal. 100 units in that game is big, and we have drawn some lines as to what we thought CGR would be, and it's better. And just to have limited data, it only flowed for 40 days. But from what I'm seeing, I'm real happy about how we evaluated and I'm very happy about how the well's performing. I just have four wells. In the Eagle Ford, I have 798 or something like that. And from a differentiated perspective, I mean we purchased the asset for a known dollar per foot. It's quite low. Massive (55:52)...
Paul Sankey - Wolfe Research LLC: No.
Roger W. Jenkins - Murphy Oil Corp.: ...black oil, volatile oil. What's that?
Paul Sankey - Wolfe Research LLC: Sorry, I thought my phone had hung up. Excuse me.
Roger W. Jenkins - Murphy Oil Corp.: Don't start hollering at me, Paul. I'm barely making (56:03)...
Paul Sankey - Wolfe Research LLC: I beg your pardon, Roger. We fell off the call earlier, and I thought my phone had hung up.
Roger W. Jenkins - Murphy Oil Corp.: No. So, I feel we're very differentiated there, because we're in a very low entry point across incredible amount of acreage, we can delineate black oil, volatile oil, and we can always go into the gas condensate area, which has been de-risked by peers and doing very well there. And I see this as a very unique opportunity for us. But just like everything else, we've to get in there, get capital in there. And if the EURs are the same – we have some very prolific EURs coming on the next well, for example, higher than we have in the Eagle Ford. And so, the EUR from a BOE perspective, I'm very happy about. And we just got to get the drilling cost lower and I'm really excited about being able to do it, because I've done it everywhere else we've been. And have the same people supervising it, same team and we're going to do it.
Paul Sankey - Wolfe Research LLC: Thanks for that complete answer, Roger, and apologies again. I thought my phone had hung up.
Roger W. Jenkins - Murphy Oil Corp.: No, that's all right (57:04).
Paul Sankey - Wolfe Research LLC: But that was the – no. The other question I had was, you mentioned about essentially something along the lines of breakeven, without being specific. I wondered where do you consider now the oil price breakeven for you guys to be, I guess, ex-growth, and what are your aspirations for what would be an appropriate or attractive level of growth for you to achieve beyond that? And at what price do you think you could achieve that? Thanks.
Roger W. Jenkins - Murphy Oil Corp.: I'm not sure on the breakeven question, as that would change my budget as to what I'd do. I don't think of it that way. I think of our company as $50-type – or let's just say, the strip for 2017 and a $60 company going forward, $60 flat, that would be escalated, like many peers use that type of number. And we desire to be a single-digit growth – production growth company, feel we can do that with the assets we have for certainty, and deliver free cash. And that's the long-range plan that I have in front of me and that's what we're working to obtain. And feel good about that. Like everyone else, I would need oil to go up from where it is today. And then when it does, Murphy would be very well positioned with the assets that we have.
Paul Sankey - Wolfe Research LLC: Right. Apart from the clients abusing me for the no, there's one asking a specific question about where your maintenance capital would be. Do you think – would it be around flat for 2017 and 2018, or is that number moving?
Roger W. Jenkins - Murphy Oil Corp.: No, we've said $850 million to $950 million (58:35) in the past, and the issue will be the new unconventional game we're in with no DUCs there, which is a ground zero, which is not easy to do inside that. But we have an ability to move capital around for different production areas, back to Ryan's question a few minutes ago. And that would be about the same as in the past. And it gets back in to working on our budget and what we want to do about the new unconventional assets and high rate of returns specific projects in the offshore, which are not an enormous capital. But every capital amount is precious now more than ever before. So, that $850 million, $950 million (59:17) number I've said in the past is maintained, in my view.
Paul Sankey - Wolfe Research LLC: Thank you very much, Roger.
Roger W. Jenkins - Murphy Oil Corp.: Thank you, Paul.
Operator: Our next question comes from Ben Wyatt with Stephens.
Roger W. Jenkins - Murphy Oil Corp.: Ben, thanks for calling in.
Ben Wyatt - Stephens, Inc.: Hey, Roger. Thanks for squeezing me in. I know we've covered a lot today, but did want to just bring up Australia. Recently, BP announced that they're kind of, at least for the time being, stepping away from Southern Australia. Just curious if that's changed you guys thinking on the asset at all, or if it's just removed a data point and some news flow that you guys were expecting to see here in the near term?
Roger W. Jenkins - Murphy Oil Corp.: Well, it's a very one-off strange occurrence, I'll say, because there's been an enormous capital spend by that party, and they still have a very large commitment there. So, I'm not sure what's going to happen with that for them. We are a totally different situation. We do not have a well commitment there. To our east there is a very large acreage position that Chevron holds also with drilling commitments that are quite large, and rigs to be moved there, et cetera. Also, in the blocks next door to us, which BP has left, and Statoil remains their partner, which they farmed in with BP at that time. So, it's a very unique circumstance. I just know that we have some very large prospects and many of them on our block. It would be preferable for Murphy someone to drill next door. But I feel in things like this that there will be a well drilled down there by some of these folks at some period of time, and we will be there to take advantage of that at that time. And all I know is the blocks we have, and the data we have, and the prospectivity that we have is very good. And in the short term, it's hurtful for them to pull out, but overall this is a long-term game and we're in this thing for very low amount of capital.
Ben Wyatt - Stephens, Inc.: Very good. Well, that's it for me. Again, thanks for squeezing me in.
Roger W. Jenkins - Murphy Oil Corp.: It's always a pleasure, and talk to you later.
Operator: That concludes today's question-and-answer session. Mr. Roger Jenkins, at this time, I would like to turn the conference back to you for any additional or closing remarks.
Roger W. Jenkins - Murphy Oil Corp.: No, just thanks for everyone calling in today. I thought we had a good call, answered many questions and we'll move forward and speak to you in the new year. And appreciate and thank you all.
Operator: That concludes today's call. Thank you for your participation and you may now disconnect.